Operator: Hello, and welcome to Deterra Royalties Half Year 2025 Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Julian Andrews, Managing Director and Chief Executive Officer. You may begin.
Julian Andrews: Thank you. Good morning, and welcome to Deterra Royalties first half 2025 results call. I'm Julian Andrews, MD and CEO of Deterra; and I'm joined today by Jason Clifton, our Chief Financial Officer. I'll begin today with some introductory remarks, and then Jason will give an overview of our financial results. Following that, I'll provide some brief comments on our approach to investment, and then, we'll hand back to the operator and open the line for questions. Starting on Slide 4. I'm pleased to be reporting that the company is in good shape, with record volumes from our key producing assets underpinning strong revenues and significant progress in some of our major development assets, highlighting the option value within our portfolio. Our producing assets continue to perform. Mining Area C once again reported record production and sales tons following BHP's announcement at the end of last financial year that the South Flank expansion had reached nameplate capacity on a run rate basis. We're also reporting for the first-time revenue from the gold offtake contracts and other assets acquired during the half. These contract produced a record number of ounces, noting we consolidate from the September 2. And with record gold price and increased volatility, they provided an important source of revenue, more than covering the incremental cost of debt from investment in the period. Since our last report, we've also seen significant progress in some of our key development assets. At Thacker Pass, we saw further derisking of funding with the U.S. Department of Energy loan closing and additional investment and support from General Motors, largely securing CapEx for Phase 1. Further, the updated NI 43-101 report from Lithium Americas last month outlined a significant increase in reserves and resources, supporting a doubling of plant production capacity and a life of mine of up to 85 years. There's been progress at a number of other development projects as well over which we hold royalties. Most notably, the La Preciosa Silver mine where the operator of the Avino Silver (ph) & Gold Mines has announced it expects to be in processing material later this year. Net profit for the period was $63.9 million and the directors have declared a fully franked interim dividend of $0.09 per share, which is approximately 75% reported net profit after tax. Integration of the Trident portfolio is now complete. At the time we announced the offer, we said that we saw it as an opportunity to capitalize on a countercyclical investment in high quality assets with substantial optionality. Since acquisition, these assets have exceeded our expectations in that regard, both in terms of financial contribution and progress on assets and development, particularly the Thacker Pass project. We continue to evaluate opportunities to add to the company's portfolio through value accretive investment. And with our long-term outlook and short-term liquidity, we're positioned well to execute on these opportunities as they arise over time. With that, I'll hand over to Jason.
Jason Clifton: Thanks, Julian, and good morning, everyone. Today, we've released our one half ‘25 results, which for the first-time reflect our acquisition of Trident. If you move to Page 5, you'll see the underlying EBITDA for the period is $106 million down 7% on one half ’24, that decrease comes mainly from lower iron ore pricing, which is offset by both stronger MAC volumes and the contribution of new revenue sources, particularly $7 million from the gold offtakes commencing September 2024. As Julian mentioned, the integration of Trident is complete and we will deliver synergies at the top end of our guidance range. At an operating level, so that's excluding one-off transaction costs, Trident has been cash flow positive in the period. We have a strong balance sheet, well within all of our banking covenants and within our net debt to EV target (ph) range. On Page 6, you can see the revenue line and the contribution of gold offtake and other royalties that are offsetting lower MAC revenue. There are a number of new one-off items and I'll take you through those in detail shortly. Important to note on this page, the effective tax rate is a bit higher due to one-off non-tax deductible Trident transaction costs. And that gives a statutory impact of the half of (ph) $63.9 million. Adjusting for those one-offs and the tax affected amount gives an underlying impact of $68.5 million. And at the top right, you can see the $0.09 per share dividend declared, which is fully franked and equates to 74.5% payout ratio. On Page 7, you can see MAC royalty revenue was down 12% on one half ‘24, which came from a 22% decrease in realized iron ore prices. On the right hand of the chart, you can see that this was offset by growth in sales volumes as MAC moves towards its 145 million wet metric ton per annum capacity. Page 8 shows the gold offtake revenue. The top left shows the six month activity to December 31, and the bottom left shows what Deterra has consolidated from the period of acquisition being the December 02, 2024. The gold offtakes are treated as a financial asset and so are [indiscernible] period. On the right hand side of the chart, you can see historical information on the offtakes during Trident's ownership. The increase in ounces delivered in one half ‘25 came from Los Filos resuming normal operations following a mine disruption and Greenstone commencing deliveries in June 2024. On Page 9 of separated recurring and non-recurring P&L line items. Operating costs were up during the half as we implemented efficiency measures following the Trident acquisition. These were offset by lower BD costs. The gold offtake depreciation is a function of the 86 million of the opening book value multiplied by ounces delivered in the period over ounces in the book on the September 2. Net finance costs are mainly driven by debt levels and net debt was $308 million at the December '24. We had an interest rate, a weighted average interest rate throughout the period of about 5.84%. And so, for four months, that's where the majority of that driver for the net finance costs comes from. One-off Trident costs are within guidance at $12 million and no further Trident integration costs will be incurred going forward. And we've also had $10 million in non-cash gains, which result from two items. Firstly, a 3.9 million revaluation gain on the offtakes and secondly, a one off 6.2 million non-cash gain on closing of the hedge that we took out to hedge the Trident purchase price. Moving to Page 10. You can see the balance sheet is strong. We are well within all of our banking covenants and have a debt -- a net debt to EBIT of 12.1% and maturities to spread across future periods. Finally, on Page 11, we've outlined our capital management framework. We advised in June last year, a dividend policy with a minimum payout of 50% of NPAT and our declared fully franked dividend of $0.09 per share is consistent with that policy. With that, I'll pass back to you, Julian.
Julian Andrews: Thank you, Jason. Turning now to our strategy and outlook, and I'll turn to Page 14. Our strategy remains focused on building shareholder value through both development of the projects within our portfolio and on further value accretive investment. Our portfolio now contains a number of short-term catalysts and longer-term optionality. Clearly, we're coming to an end of a period of significant growth at Mining Area C with production rates having more than doubled in the last 3.5 years. Although, nameplate has been reached on a run rate basis to the extent that these rates are maintained over a full period, we may still see some volume growth on an annual basis and associated capacity pain. Other short-term catalysts to note include a full notice to proceed on Thacker Pass, which LAC has indicated they expect early this year, noting that the device have already begun work in order to derisk the plant production start date in 2027 And Avino's announcement regarded expected processing material later this year. In terms of investment, we're focused on adding high quality long life assets with significant option value at the right price. And in doing so, growing the net asset value of our portfolio on a share basis. By doing that on a consistent and disciplined basis over time, we believe we can also build scale and diversification benefits to provide additional value at a portfolio level. To be clear, each potential investment will be evaluated on its own merits and must be value accretive in its own right (ph). Any portfolio level benefits are an outcome of that disciplined investment approach, not a driver, and will take time to accrue. Turning to Page 15. Our investment criteria and target parameters remain the same. We're focused on opportunities where we think we're better positioned, that is projects in established mining jurisdictions in bulk commodities, space metals and battery and energy transition materials. In summary, it's been a busy period with new assets adding new sources of revenue and optionality to the portfolio. We remain focused on our core principles of creating value for shareholders in a patient and disciplined way. With that, I'll hand back to the operator, and we'd be happy to take any questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Tom Prendiville from Canaccord. Your line is open.
Tom Prendiville: Yeah. Good morning, Julian, Jason and team. Thanks for the presentation. Maybe just a question on the restructure of the BD team, you announced earlier this year. Just curious, what's the expectation, how this team is going to look going forward? I mean, is it growing? Is it shrinking, staying the same? First part of the question. And then just as part of that same announcement, I mean, you mentioned an increase in focus on offshore opportunities, particularly in North America. I mean, is there any particular reason for this? Does this imply that the number of attractive opportunities you're seeing in Australia and other developed countries is limited relative to North America? Just, yeah, just some comments on that, please. Thanks.
Julian Andrews: Sure. Thanks, Tom. Yeah. In terms of the restructure, the business development team, and I think it just reflects, so there is two parts of the question probably go together to an extent. Certainly, we see a number of opportunities here in Australia, and we do being having our place here. We have a natural focus on some of those opportunities. But the reality is that the royalty and streaming sector is more mature in in other words, parts of the world and North America, particularly. So we feel it's important that we have a presence in that part of the world, a sort of a presence in that time zone, that enables us to both access some of those business development opportunities as well as be a bit closer to some of the capital markets in in that part of the world. Yeah. Hence, we now have, Adam Davidson, based out of Denver, and he's focused on leading our opportunities there. In terms of what -- where this might go, I think there's always a little bit of tweaking potentially around the edges, but I think structurally, we're pretty close to where we'd like to be.
Tom Prendiville: All right. Yeah. No. That's clear. And then maybe just a quick follow-up. So, just on the gold offtakes, they seem to be outperforming expectations. I think previously, you've mentioned you may consider divesting these. I mean, what's the updated thinking there given the performance of those gold offtakes?
Julian Andrews: Yeah. Obviously, we're very happy with how they've been performing since we own them. But as you say, we said at the time that we made the acquisition that they're not core. We're not a precious metals focused business. So you would certainly consider opportunities to divest those. We'd consider all options. And we we're still very much in that state if we find somebody or somebody approaches us who is prepared to pay more for them than we think they're worth to us, and then clearly, we would be would be happy to divest those, that's another lever we would have from a capital management perspective. But to be clear, as we've spoken about this morning, they are generating good cash flows. And so we're not uncomfortable retaining those if that turns out to be the best option for us.
Tom Prendiville: Sure. That makes sense. Thanks, Julian. Yeah, I'll pass it on. Cheers.
Julian Andrews: Thanks, Tom.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Glyn Lawcock from Barrenjoey. Your line is open.
Glyn Lawcock: Julian, good morning. Could you (ph) maybe just explore that little the gold off take comment a little bit more? I mean, actually, have you begun a process at all, or you -- is it really more a case of you just going to sit back and wait? Just trying to understand is your intention to run a process or just if someone approaches you?
Julian Andrews: So, we're exploring all options. We're not -- so we'll certainly, as I said, we're exploring all options in that regard.
Glyn Lawcock: Okay. But then there's no process underway then is what you're saying at the moment?
Julian Andrews: Look, we'll certainly consider if it makes sense to run a process. We would do that. But at the moment, we're just exploring all options.
Glyn Lawcock: Yeah. And then just for the payout ratio, you picked the midpoint between 50 and 100, which was good to see. And you gave a lot of explanation around how you came to that conclusion on the payout ratio. What about thoughts around deleveraging the balance sheet a little bit more as well through equity perhaps now that the transaction is behind us, so we can get back to a more elevated fulsome payout ratio or how are you thinking about the capital structure? Thanks.
Julian Andrews: So as you say, we took a number of factors into account. The board took a number of factors into account when making that decision. Yeah. But looking to balance, returns to shareholders with the strength of the balance sheet and the liquidity available to us. And we, so in that regard, we're very comfortable with where the balance sheet is. As Jason said out in his comments, we don't feel under any kind of pressure with respect to the level of debt we have on the balance sheet. But, yeah, we are keen to recycle that, liquidity that we used in the Trident transaction. But the rate and the form in which we do that will really be driven by the opportunities that we see and the need for that liquidity and, as I said, always balanced with a desire to support returns to shareholders.
Jason Clifton: And I'll just jump in and add there, Glyn, a reminder that the revenue from the gold offtake alone in servicing the debt through the entire Trident acquisition. And as we look forward, we're going to start adding further new revenue sources, particularly with Thacker Pass when that comes online and if there are capacity payments to come out of MAC as well. So we're not in any mad rush. We're repaying that debt. We're servicing that comfortably. As Julian says, the opportunities will obviously feed into our thinking around that. But we've also got circa $200 million capacity in our credit facilities at the moment right now.
Glyn Lawcock: Yeah. So when you're thinking about the next acquisition, if and when it comes across the table, is it more likely now to be using scrip rather than cash given the balance sheet? I mean, admittedly, you've still got liquidity, but how do you think about the next one?
Julian Andrews: Yeah. So obviously, it'll depend a bit on the nature of the acquisition. But as Jason said, we've got a couple of hundred million under the existing facilities that are available to us. But that being said, we are -- we talk about a target leverage range of 0% to 15%. We're getting towards the top of that where we are at the moment. So I think that if we're looking at substantial investments then obviously equity would be one route available to us.
Glyn Lawcock: Yeah. And just a final question if I could squeeze it in. Just we all seem to miss the net debt. Was there a more -- was there more liabilities and debt sitting in Trident than what we could see on their balance sheet? Because your net debt was about 40 million more than we all thought post the acquisition and the trueing up of everything. What was it?
Jason Clifton: Yeah. So thanks, Glyn. We talked back in July of us, having a total funding requirement of about $330 million. Obviously, the headline purchase price was $276, but we did have to repay Trident's debt. They had net debt of $33 million, that was gross debt of 44 and cash of 11. So I saw in your briefing note this morning, you were just -- you were looking at our cash flow, and that just gives you a sense of why the, repayments would be higher than what we might otherwise think. But then there are also transaction costs in there too. So that could that got us to the $330. And, obviously, since we drew that down in September, we've obviously repaid a little bit of that. But we do have big swings in our working capital just given the timing of the receipts of the MAC royalty revenues. So that can make it a bit more difficult to pin down.
Glyn Lawcock: All right. So a lot of that working capital receivables you'd expect to come imminently to enable you to pay the dividend from cash, not debt?
Jason Clifton: That's right.
Glyn Lawcock: All right. Thanks very much.
Jason Clifton: Thanks, Glyn.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Paul McTaggart with Citigroup. Your line is open.
Paul McTaggart: Good morning. So for those of us who don't cover Lithium America loan (ph), I hear various comments around the quality of Thicker Pass, how difficult it might be, even the sheer scale of CapEx. And I know there's been a whole kind of funding a range of investments have been agreed with GE, etc., and the DOE facility alone. How confident are you, about Thicker Pass meeting Phase 1 and then subsequent kind of targets. And obviously, it was a -- we saw the increase in the resource base, which was pleasing, but I just wanted to get a sense of how you think about Thicker Pass? Thank you.
Julian Andrews: Yes. So look, Thicker Pass is obviously a key part of the Trident acquisition. And it's -- maybe just a step back a bit. So it's a clear lithium project in Northern Nevada. And to -- we talk a bit -- you asked a question about the funding. Certainly, in the period since the acquisition closes, we've seen further derisking on of that funding. So it's about a 2.9 or thereabouts U.S. billion dollar project, which is funded largely by U.S. Department of Energy Loan, $2.25 billion, again, U.S. dollars, that fund, that loan closed late last year. And the other key part of the funding is coming from General Motors, who has a range of interest in the project, so they have an offtake. They have an equity investment in Lithium Americas. And then more recently, they announced a further $600 million investment that was linked to a direct investment in a JV, so at the project level. So very strong support from, very well-funded funders. So from a funding perspective, it's in good shape. Certainly, in terms of the nature of the processing. I had the opportunity to go out to site at the end of last year. It's -- they've been running a test facility for several years in Reno. They are well advanced on some of the earthworks there. So, yeah, very positive signs for the business in terms of that project getting up. As you say, we had very good news last month when they put out an updated technical report that increased the reserves and resources to the point where it's now the largest reserve and resource out there, and as well as yeah and that increase supported an increase in mine plans, so a doubling production plans and a significant lengthening in the life of mine. So to be clear, we see this as very much a world class asset. It has many MAC like characteristics in the sense of the long life, the world scale, tier 1 mining jurisdiction, well capitalized bankers, and very well positioned for its end markets as well. So a lot of real positives. And I think, when we think about the exposure we've taken through, pack of parts to lithium, if you're going to take exposure to lithium, this is a really high quality way to do it. And that's an important part of how we think about our investments is, not just the underlying commodity, but really importantly that the quality of exposure we get through the projects that we're taking an interest in. Yeah. Clearly, there's been a lot of talk in Washington on a number of fronts around different funding. And you can never say never, but, certainly, in terms of that Department of Energy funding, our understanding is that once those loans close, they're effectively dispersed. Perhaps its projects would still have conditional funding commitments that might be a bit more at risk. But we're looking forward to Lithium Americas progressing with that project and that they've indicated they expect to make a final notice to proceed on that project sometime early this year.
Paul McTaggart: So that's probably the next big thing we should look out for. Okay. And you reckon it's early this year?
Julian Andrews: That's the guidance, Lithium Americas has given to the market that they expect that early this year.
Paul McTaggart: Okay. Thank you.
Julian Andrews: Thanks, Paul.
Operator: Thank you. [Operator Instructions] I'm showing no further questions in the queue. I would now like to turn the call back over to Julian for closing remarks.
Julian Andrews: Thank you. Thank you everybody for joining us this morning. We look forward to continuing to update you on the progress of the company. Thank you.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect.